Operator: Good morning. My name is Tom, and I will be your conference operator today. At this time, I would like to welcome everyone to Viking's Third Quarter 2025 Earnings Conference Call. As a reminder, this call is being recorded. [Operator Instructions] I would now like to turn the program to your host for today's conference, Vice President of Investor Relations, Carola Mengolini.
Carola Mengolini: Good morning, everyone, and welcome to Viking's Third Quarter 2025 Earnings Conference Call. I am joined by Tor Hagen, Chairman and Chief Executive Officer; and Leah Talactac, President and Chief Financial Officer. Also available during the Q&A session is Linh Banh, Executive Vice President of Finance. Before we get started, please note our cautionary statement regarding forward-looking information. During the call, management may discuss information that is forward-looking and involves known and unknown risks, uncertainties and other factors, which may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release as well as in our filings with the SEC. The forward-looking statements are as of today, and we assume no obligation to update or supplement these statements. We may also refer to certain non-IFRS financial metrics, which are reconciled and described in our press release posted on our Investor Relations website at ir.viking.com. Tor and Leah will begin today's call with a strategic overview of the business, including a recap of our third quarter results and an update of the current booking environment. Following their remarks, we will open the call for your questions. To supplement today's discussion, an earnings presentation is available on our Investor Relations website. With that, I'm pleased to turn the call over to Tor.
Torstein Hagen: Thank you, Carola, and good morning, everyone. This was a great and memorable quarter with very good financial results, a strong booking environment and highlighted by a significant operational milestone. Starting on Slide 3, you can see that in the third quarter, net yield increased 7.1% year-over-year. Leah will provide more detail shortly, but I want to highlight that our consolidated net yield this quarter was $617, the highest in Viking's history. Turning to the overall booking environment. We continue to see strong momentum. As of November 2, 2025, and for our core products, 96% of our 2025 capacity was sold when 70% of our 2026 capacity was already booked too. I believe that this reflects the strength of the Viking brand, the resilience of our target customers and the appeal of our destination-focused products. As we continue to grow our fleet, this forward visibility gives us confidence in our trajectory and in our ability to deliver long-term value to all stakeholders. I also believe that our well-defined product and clear focus on our customer base have enabled us to build a robust travel platform and support a steady fleet expansion. This has also allowed us to extend the brand into new destinations that further strengthen our guest loyalty. Our guests value and understand Viking. We do not try to be everything to everyone. We focus on the destination and on cultural enrichment while providing an intimate elegant atmosphere on board. Now if you look at the next slide, #4, you can see how this strategy has brought us to a remarkable milestone. We started Viking 28 years ago with 4 river vessels. And today, we have a fleet of more than 100 ships, 103 to be exact. I believe that this growth reflects both disciplined execution and an innovative approach. First, we have been modernizing river voyages. In addition, we have been reinventing Ocean Voyages and perfecting the expedition experience. Each of these products is approached with the same philosophy of thoughtful design, cultural depth and operational discipline. We have been modernizing river voyages by transforming what River Cruising can be. We have introduced new elegant and efficient ships with immersive itineraries that bring guests closer to the art, history, and culture of every destination. Today, River Cruising has become a globally recognized way of travel and Viking with a fleet of 89 river vessels offer the most extensive and enriching collection of river itineraries across the world. We have also been reinventing ocean by bringing the same vision that is modernizing the River Cruising. We are redefining what an Ocean Voyage can be, introducing new small, elegant ships designed not for entertainment, but for enrichment. At Viking, we said that we are for the thinking first. True to that promise, our ocean itineraries with a fleet of 12 ships focus on cultural discovery and meaningful experiences, bring our guests closer to the world's most inspiring destinations. And lastly, we have been perfecting the expedition experience. With purpose-built ships, we enable our guests to explore the most remote regions of the planet from Antarctica to the Arctic and also closer to home on North America's great lakes. These itineraries are designed with safety and comfort at the core by placing science, exploration and sustainability at the heart of every journey. In doing so, we are creating a new category of travel, one that feels less like tourism and more like meaningful discovery. This innovative approach is also reflected in the extraordinary breadth of our offerings. As shown on Slide 5, we are currently providing itineraries that cumulatively span more than 85 countries across all 7 continents, all 5 oceans, 21 rivers and 5 lakes calling on over 500 ports. Looking ahead, we remain committed to setting the standard in experiential travel, offering opportunities to explore the world in ways that are comfortable, cultural enriching and environmentally responsible. As we reflect on this milestone, achieving a fleet of 100 vessels, let me turn to one of our key advantages that have helped fuel the growth in the river segment, which is the docking locations. On Slide 6, you will see how these set Viking apart. Our river vessels dock in the hearts of cities and towns, near historical and cultural attractions. They provide our guests with more time ashore to enjoy the local culture. Today, we control or have priority access to 113 of the most coveted docking locations in various regions of the world. This includes premier locations in Paris, just 800 meters from the Eiffel Tower and in Luxor, close to the Karnak Temple. This unique access not only enhances the guest experience but also reinforces Viking's leadership position in the River Cruising. Now to conclude this section, I will share some great news about how our product is being recognized across the industry. On Slide 7, you can see that Viking has once again been rated #1 for oceans and #1 for Rivers by Conde Nast Traveler, now for the fifth consecutive year in the 2025 Readers' Choice Awards. We were also honored as a World's Best by Travel + Leisure in the 2025 World's Best Awards. No other travel company has simultaneously received such honors across these product lines from both publications. What makes these awards especially meaningful is that they are voted on by the guests, reinforcing that our distinct approach resonates with those who value meaningful travel. They also reflect the dedication of our entire team, whose commitment ensures that every voyage lives up to the Viking's name. By staying true to our principles, small ships, destination-focused itineraries, and exceptional service, we have been able to lead without compromise. And as we look ahead, we remain committed to maintaining the standards that have earned us [indiscernible]. With that, I will turn to Leah to discuss our financials.
Leah Talactac: Thank you, Tor, and good morning, everyone. I will start by reviewing our third quarter results, which were very good and will also mention a few records worth highlighting. On a consolidated basis, capacity grew 11% and net yields rose 7.1%, resulting in a 21.4% increase in adjusted gross margin year-over-year. As Tor noted, net yields were $617 this quarter, the highest in Viking's history. As expected, vessel expenses, excluding fuel per capacity PCD increased 9.6% year-over-year. Consistent with what we shared last quarter, the year-over-year increase was driven by several factors. These included changes in our itinerary mix, which led to higher expenses such as port charges as well as slightly higher repair and maintenance costs compared to the prior years. Repairs and maintenance costs occur when specific work is required on our vessels and the timing can shift depending on operational needs. As a result, the cadence of these expenses may differ from one period to the next and is not always a like-for-like comparison. I will note that with a larger fleet and a different mix of itineraries, both capacity and net yields increased more than offsetting expected cost increases. Regarding SG&A, expenses remained flat as a percentage of adjusted gross margin when compared to same time last year. Following the year-over-year step-up in expenses during the second quarter, we continue to invest in our teams, including through stock-based compensation to support long-term growth. As it relates to overall expenses, we remain firmly committed to disciplined cost management, while at the same time, retaining our talent, supporting our expanding capacity and stimulating demand. We believe that this balanced approach ensures we are not only managing today's environment responsibly but also laying the foundation for Viking's sustained growth and long-term success. Having said this, we are proud to report the highest quarterly adjusted EBITDA in our company's history at $704 million, up 26.9% year-over-year, while also reaching one of the highest adjusted EBITDA margins at 52.8%. As we have shared before, capacity growth, coupled with yield growth translates into strong EBITDA improvement and margin expansion. In summary, you can see that this quarter, we achieved the highest net yield in Viking's history and the highest adjusted EBITDA. We believe that these great results underscore the strength of our business model, the resilience of the demand across our portfolio and the discipline of our execution as we continue to deliver profitable growth. Now moving to net income. This was $514 million, an improvement of almost $135 million when compared to the same period in 2024. I will note that the net income for the third quarter of 2024 includes a loss of $18.6 million from the revaluation of warrants issued by the company due to stock price appreciation. While this quarter in 2025, we recorded nonrecurring charges of $19.7 million in connection with debt refinancing, which are included in interest expense. Adjusted EPS was $1.20 for the third quarter, up 33.2% year-over-year. Now before moving to our reportable segments, which are on Slide 10, I would like to highlight that year-to-date, our consolidated adjusted gross margin increased 21% year-over-year to $3.2 billion, and our net yield is 7.4% higher than in the same period last year. Now I will briefly discuss our 2 reportable segments, river and ocean. Unless noted, I will be referring to year-to-date metrics or 9 months ended September 30, 2025. In the river segment, capacity PCDs increased 5.2% year-over-year, mainly driven by the addition of 4 new ships, 2 for Egypt delivered in 2024 and 2 for Europe delivered this year. Occupancy for the period was 96% and adjusted gross margin increased 14.3% year-over-year to $1.4 billion. As a result, net yield was $589, up 7.8% year-over-year, driven by strong demand for both our Egypt and European itineraries. For ocean, capacity PCDs increased 15.3% year-over-year, mainly due to the addition of the Viking Vela in December of 2024 and the Viking Vesta in June of 2025. Occupancy for the period was 95.4%. Adjusted gross margin increased 28.5% year-over-year to $1.5 billion, while net yield increased 10.9% to $591. Now moving to the balance sheet. On Slide 11, you can see that as of September 30, 2025, we had total cash and cash equivalents of $3 billion. Our net debt was $2.8 billion, and our net leverage ratio was 1.6x, an improvement compared to the 2.1x shared last quarter. Also on Slide 11, we show our bond maturity outlook. In October of 2025, we issued $1.7 billion of senior unsecured notes due 2033. The net proceeds were used to fully redeem all outstanding senior unsecured notes due 2027 and to repay finance leases on 2 ocean ships and 1 expedition ship, with the balance designed to repay the finance lease on an additional ocean ship. To this end, bond maturities are now due 2028 and beyond. Since our last earnings release, we have also realized additional financial achievements. Moody's upgraded Viking to Ba2 from Ba3, and we upsized our revolving credit facility to $1 billion. We believe that all these actions underscore our consistent performance, strengthen Viking's capital structure and enhance our financial flexibility to pursue long-term growth. From a committed capital expenditure perspective and for the full year 2025, the total expected committed ship CapEx is about $910 million or $480 million net of financing. And for the full year 2026, the total expected committed ship CapEx is about $1.2 billion or $320 million net of financing. With that, I'll turn it back to Tor to review our business outlook, including our booking curves.
Torstein Hagen: Thanks, Leah. Let's now talk about the booking curves, which are all as of November 2, 2025. On Slide 13, we show our consolidated metrics for our core products. As you can see, we continue to be in very good shape for both 2025 and the 2026 seasons. For 2025, 96% of our capacity PCDs for our core products is already booked. Advanced bookings equaled $5.6 billion, which is 21% higher than the 2024 season at the same point in time, while the capacity has increased by 12%. Because our 2025 capacity is mostly sold out, these metrics are very similar to what we shared last quarter. I will note that as we approach the end of the calendar year, we might experience a few cancellations, which is normal. Now moving to 2026, we are in a very good position there, too. The capacity for our core products is increasing by 9%, and we are already 70% booked with $4.9 billion of advanced bookings. These are 14% higher than the 2025 season at the same point in time for 2024. I'll talk about the advanced booking curves for the segments. On the next slide, you will see the curves for Ocean Cruises. This is Slide 14. I'll begin with the blue line, which represents bookings for 2025. Overall, we have sold 95% of the capacity PCDs for the year, which is an increase of 18%. Advanced bookings are 29% higher than they were at the same point last year, and rates have remained very strong, equal to $717 compared to $661 last year. Now if you look at the yellow line, you will see the booking trend for the 2026 season. As you can see, we are in very good shape. Ocean capacity is projected to increase by 9% in 2026 and approximately 77% of the capacity has already been sold. This equals to about $2.4 billion in advanced bookings at average rates of $783 compared to $749 at the same point for the 2025 season. If we move to Slide 15, you will see the curves for the River Cruises. I will start with the blue line, which graphs the advanced bookings for 2025. Like oceans, we are also having a great year in river, 96% of the 2025 capacity is already sold, which is an increase of 6% year-over-year. Advanced bookings are 16% higher than last year at this point in time and rates equaled $820 compared to $758 last year. Like ocean, we have very little to sell for the '25 season, and our teams are now focused on 2026 and beyond. Now looking at the yellow line, these are the advanced bookings for the 2026 season. As you can see, we have sold $2.2 billion in advanced bookings, representing 62% of our capacity. The river operating capacity is expected to grow 10% year-over-year, a figure slightly higher than the last quarter due to some tender adjustments. These are good trends for the 2026 river, which builds on top of a steep 2025 curve. The rates equal to $920 compared to $853 in 2025. So overall, advanced bookings for our core products are doing very well. They are either in line with or exceeding some of our expectations. Moreover, average rates for the 2026 season have increased. These are currently 5.5% higher than the 2025 season at the same point in time, alongside a 9% increase in capacity. To this end, we are very pleased with how the curves are trending. Now Leah will add some color to our order book and capacity.
Leah Talactac: Thank you, Tor. Our order book chart, which is on Slide 16, has been updated to reflect the following: the successful delivery of 4 river vessels and the addition of option agreements for 8 additional river vessels, which, if exercised, will result in 4 deliveries in 2031 and 4 more in 2032. You can see that we continue to prioritize expanding capacity to meet growing demand. At Viking, we believe that by staying focused on delivering meaningful experiences, we will continue to drive strong earnings growth, expand margins and sustain long-term financial performance. With this, I conclude our prepared remarks. I'll now turn it back to the operator to take questions.
Operator: [Operator Instructions] And the first question this morning is coming from Steve Wieczynski from Stifel.
Steven Wieczynski: Congratulations on a very solid quarter here. So Tor, Leah, if we look at 2026 pricing across river and ocean, both improved not only from your August update, but it also improved relative to the update you gave when you did your debt deal in late September. So I guess what I'm wondering is maybe help us think about what is driving that pricing increase right now? Meaning is demand so strong that you're able to take price action. Or is it something out there where you still have more desirable itineraries, cabin classes, whatever you want to think about it out there that are now being kind of bought at this point for next year? And then maybe help us think about what type of promotional work or marketing you're doing currently in order to drive that demand into '26.
Leah Talactac: Steve, I think the key indicators that we're seeing with respect to our yield really shows the health of our consumer. I think we've always said from the beginning that our consumers are different. They're more resilient. They have time, they want to travel, and they have the funds to do so. And in the prior earnings calls, we had mentioned that based on what we can see from the remaining inventory available that we would be able to achieve this mid-single-digit growth in price. So we see that come to bear this quarter. Our marketing strategy has been to engage with consumers rather than take pricing actions, and this continues towards the future. I think we've said also in the past that we would like to be in a comfortable spot ending the year, but also still have enough inventory for next year's wave. So you'll start to see that in our marketing spend, but we also are cognizant that people are also booking forward seasons. So it remains -- the cadence is similar to prior years with respect to marketing. However, we are quite pleased to see that our consumers are willing to travel and are willing to pay to travel with Viking.
Torstein Hagen: And maybe I can add, Leah, I just came back from a day on a ship in Malta on the ocean ship. And our customers rave about the product that we have. And they come up to me and said I have 3 more booked, I have 4 more booked. So they're really very much looking forward to experiencing more of the Viking product. And they tell me how different we are from everybody else.
Steven Wieczynski: Okay. Got you. And then second question, Leah, in the release, you made a remark that I thought was kind of interesting. You basically said Viking's capital structure is in such a good spot at this point that it's giving you guys the financial flexibility to pursue long-term growth. And I guess the question is, maybe what does the pursue long-term growth mean to you guys? I'm wondering if you could maybe expand upon a little bit more what that means.
Leah Talactac: Sure. Long-term growth is really organic growth. You saw that we ordered or have options for more river ships. We still feel that there is potential for us to expand our market share in the luxury ocean segment. And we also -- we remain optimistic that there could be inorganic growth as well. We are watchful again, we want to make sure that it's scalable, margin accretive and complementary to the brand. But with our capital structure the way it is, and we're structuring it with now we have the $1 billion revolver, we feel confident that we could be opportunistic when the opportunity comes.
Operator: Your next question is coming from Matthew Boss from JPMorgan.
Matthew Boss: Congrats on a nice quarter. With the acceleration on advanced bookings across both river and ocean, maybe to your point, could you elaborate on demand trends that you continue to see globally? Maybe more so, what sets your experience apart from a loyalty perspective? And with that, how you plan to optimize pricing on the remaining capacity?
Torstein Hagen: Okay. We have said many times, we are different. I don't need to repeat that. Of course, we only have a tiny portion of our capacity in the Caribbean, I think it's 4% or something like that of the ocean capacity. So any kind of overcapacity that one may see there shall not impact us the slightest. We have seen that people want to go from huge ships to smaller ships, and we are there to capitalize on that, I would say. We haven't seen any weakening in demand. It's strong. When you look at the demand curves, you could see -- when you look at them, of course, you see that we are very far ahead on the oceans, but that's a bit deliberate because we have new buildings coming on stream next year. And we'd rather make sure that we are in good shape as we start that year. So we're about to end that year now when you look at 70% being booked already. So I think you could argue maybe we could have been a little bit greedier on the price. But I think when you see the margins we have, we are fine with it the way it is. And I think we have hit a very, very good spot on the oceans. On the rivers, we are where we usually should be at this time of the year. And we haven't seen -- we have read about competition, but we haven't seen much of it.
Matthew Boss: And then as a follow-up, Leah, could you speak to the cadence of recent booking trends over the last 3 months, maybe what you're seeing today as we think about the continued momentum? Just any differences in customer demand for your ocean relative to river experiences?
Leah Talactac: I would say that the demand is in line with expectation. With ocean being more booked than river, you can see that we are starting to focus on our river. But our book percentage complete on a consolidated basis is about the same as last year. And we are really agnostic as to whether our guests travel with us on ocean, river being that we are one brand. So I think we are quite happy with where things stand as far as how the pricing has developed. We don't really see much bifurcation with how our consumer is looking towards their experiences. There's no bifurcation between geographies or routes. Both our ocean and river segments contribute to the uplift. So this reflects the consistency of the brand and loyalty of our guests worldwide. And this also is a strong indicator of our sustained pricing power going forward.
Operator: Your next question is coming from James Hardiman from Citi.
James Hardiman: So I wanted to follow up a little bit on the advanced booking commentary for 2026. I think you answered my first question, which is whether or not the acceleration was a function of sort of mix or other items versus just a stronger consumer. It sounds like it's the latter. But maybe speak to whether or not the relative acceleration between ocean, which has been pretty consistent with where it started out 2 quarters ago in terms of 2026 advanced booking -- bookings per PCD relative to river, which has gone 4 to 6 to 8, right, the last couple of quarters. Is that an indication of stronger demand, accelerating demand in river and more consistent demand for 2026 in ocean? Or are there other factors at play there?
Leah Talactac: I think what -- sorry, go ahead, Tor.
Torstein Hagen: I thought I'll leave it to you. I think -- I thought I started addressing the question in my comments that the efforts on the ocean side are, of course, a little bit influenced by the new building program that we have. So we'd like to be further ahead. On the rivers, if I read the chart on Page 15, you can see the prices that we get there now are some 8% higher than it was last year at the same time. So there's no weakness to be spotted there at all. Of course, the capacity expansion on the -- that we have on the rivers is smaller than the capacity expansion on the oceans. And that's why we want to play a little bit safe and make sure we are really well ahead on the oceans.
James Hardiman: That makes sense. I didn't know if, Leah, you had anything to add to that, or no?
Leah Talactac: No, Tor sums it up pretty well. I think that with ocean being a year-round product and river really having a shorter season with the shoulder seasons in the first and fourth quarters, I think the booking pattern reflects a little bit of how the seasons operate. But again, as Tor mentioned, ocean is our growth engine. And so we are quite pleased that we are further ahead from a capacity percentage, but we are also quite pleased with how the river bookings and their price increases has transpired.
James Hardiman: And then as a follow-up, obviously, since the last time we spoke, one of your main competitors or I guess, I should say, a new competitor, we've sort of gotten a peak at what they're going to be bringing to the table in terms of a river offering. Any initial thoughts there compare and contrast? And then I forget what slide it was, but you spoke to the fact that you guys have control or priority access to 113 of the world's most coveted destinations. Thoughts on that as a moat? Are there any ways in which you can ultimately play defense as you think about a major competitor getting into that river space?
Torstein Hagen: Well, I feel that we are so far ahead as we are. So I just watched a football match between Italy and Norway and Norway beat Italy 4-1. And the reason we beat them is that we stopped playing defense, we've continued playing offense. And I think that's what we plan to do also on the river business. We have a great position, and we want to exploit that fully.
Operator: Your next question is coming from Robin Farley from UBS.
Robin Farley: Just circling back to this nice uptick in booked revenue per passenger cruise day in the last 3 months. And when we hadn't necessarily seen it move up from May to August, I'm just curious if there is anything you would call out that was sort of in the comparable base that we may not see as easily as you can that has made this uptick? Or would you say that you are actually seeing an improved -- I don't know whether -- I don't know if you'd attribute it to like geopolitical situation being better or things that are actually accelerating the demand? Or just trying to get a sense of if there were things in the comparable base that made it look like an acceleration versus that sort of May to August?
Leah Talactac: I think that the booking curves or the trends that you've seen since the last few updates really shows and reflects the strength of our consumer. We did market more earlier in the year, but we saw the consumer respond even beyond what we had expected them to respond, both in volume and price. And so I think this goes back to our guests appreciate and know the Viking value and the product. They're very loyal. They would like to travel, and they're willing to plan ahead. And so I think all of that is coming to bear as the booking curves develop.
Robin Farley: And just for a follow-up, actually, on the expense side, you talked about how your marketing cadence will be similar, and that's been successful for you and that you're investing more in the team and SG&A. I know some of the expense in the quarter, you talked about the timing of repair and things like that, that's just a timing issue. Would you say that though broadly, one would expect, given the pretty significant capacity increase you have that other things would scale outside of the kind of marketing and HR expenses that still would be an expectation that investors should have?
Leah Talactac: Sure. So you bring up a good point, which is that our SG&A for this year really is a reflection of what we are incurring today to support next year's growth. So that's also something to keep in mind. Having said that, we are committed to also making sure that our expenses are -- they are within reason. So we make sure that -- we have said before, we are not going to save our way to greatness. However, we are very cognizant of how costs could increase. We would never compromise the quality of the product for that, but our operators on our ships are very well versed in how to navigate through price or through inflation and through cost pressures. And as well as in the corporate side, where we have SG&A, we are also seeing some efficiencies as technology plays a larger part in how we do business. But with the growth that we have, there are going to be increases because what we are spending today really is to support next year and as it goes on. So very good observation, thank you, Robin.
Operator: Your next question is coming from Brandt Montour from Barclays.
Brandt Montour: So one of -- I say, Norwegian is moving capacity out of Europe in '26. Is that a tailwind for you guys? Or is it just sort of too different of a customer to actually matter for you?
Torstein Hagen: Norwegian has, I would say, 2 product lines. They have the children's entertainment business; I mean the mass market big ships and whatever they do there doesn't impact us at all. Of course, they have other products, which are more related to our ocean business. And I haven't quite followed to the extent they move any of that out, of course, it means there's less capacity to compete with. But again, I feel we are in such a unique position. So I don't worry too much about what other people are doing. I think for us; it's really a matter of continuing to deliver the outstanding product that we have to the guests that we have and who are such loyal followers of us. So I don't worry too much about it or think about it too much.
Brandt Montour: And then just a follow-up maybe to that point, Tor. I guess reading into your answer to James' question about Royal Caribbean and Celebrity. And just essentially, you said you were going to press your advantage. I want to understand kind of maybe what you mean by that? It seems like their product is going to be a little different, right? There's going to be kids allowed. There's going to be more bells and whistles. It's going to be a little bit -- we think more -- a little bit more expensive than perhaps your product. What do you mean by pressing your advantage? And do you think that there is -- how much overlap do you really think you have here with what they're going to try -- the tool they're going to try and sell to?
Torstein Hagen: Well, we have some huge advantages in the docking sites we have. It's also the design we have of our river ships, which is quite unique. we can take 190 guests on our river ships. I don't know where they will end up being on the end. There's 160 or thereabouts, 170 maybe. But obviously, if we get 20 more guests on the ships and it costs pretty much the same to operate, then I'd tell you, we have a huge advantage either in terms of making a better offer to our guests or making more returns to our shareholders. So I think the design we have on our ships is really very, very, very unique. And I think a fundamental sound design where we design for cost and efficiency rather than for bells and whistles is a much healthier way of doing business, at least that's the Viking philosophy.
Leah Talactac: And can I add to that also, the breadth of our itineraries, we currently have operations in 21 rivers and so I think we will continue to make sure that we remain dominant in that market, the North American market that travels to Europe and other rivers worldwide.
Operator: Your next question is coming from Stephen Grambling from Morgan Stanley.
Stephen Grambling: Just wanted to follow up on some of your comments around SG&A and just margins more broadly. I guess I know you don't guide, but are there any other puts and takes to consider as we look at the year ahead or even longer term? I know that your order book, I think, is actually lower in '27 right now for ocean relative to 2026. So is that potentially, I guess, in some ways, a tailwind in some ways for SG&A next year as you're investing for the year ahead? Or do you already have to build for 2028? And then any other color you have on kind of gross margin puts and takes?
Leah Talactac: Stephen, that's a great question. I think at the end of the day, if you look at our order book, we have growth year-on-year. I note that, yes, we do take 2 ships -- ocean ships for delivery in '26 versus 1 in '27. But I think the one thing to note is that in 2027, then we have 3 new ships operating. So we're seeing continuous growth year-over-year, which means from an SG&A perspective, we will continue to also, at the end of the day, grow that. But SG&A is an area where we do believe we can leverage for margin expansion. And as you can see from the quarter's performance and our year-to-date performance with the capacity we have and the yields we have, we've been able to grow adjusted EBITDA as well. So that's obviously a goal we still maintain.
Stephen Grambling: And maybe one other follow-up on that. One of the, I guess, the hallmarks of the business has been the marketing engine. How do you think about utilizing AI or other technology to further bolster that? And are there other opportunities to leverage AI in the broader business?
Leah Talactac: Yes, sure. So we do see -- certainly see opportunity both from a marketing perspective and also from a revenue management perspective with the new technology or the technology that we have available. So those are at play now. Could there also be opportunity to use that same technology as we think about how we look at and operate the rest of the business, certainly. So these are certainly initiatives that we have already begun and some of it is also already being used. So there -- and I think when we think about efficiencies and leveraging some of that, there's certainly opportunity in the future.
Operator: Your next question is coming from Lizzie Dove from Goldman Sachs.
Elizabeth Dove: I wanted to go back on the comments that you mentioned around inorganic growth. And just maybe if you could give us a refresh on what type of things high level could be on the table there. And you've really built up a very, very strong balance sheet, great cash balance. Like to what extent that kind of precludes you from capital returns in other forms over the medium term?
Leah Talactac: Sure. So I just wanted to level set on what our guiding principles when we think about acquisitions or opportunities. So we want to make sure that it's scalable, that it doesn't distract from our organic growth. We want to make sure that it's margin accretive. And we also want to make sure that it is complementary to the brand and within the brand ethos because the one Viking brand really is so powerful. So having said that, there are others -- we know that our guests travel and do other things outside of cruising. And we had in the past operated something that we call Viking Tours, which was more geared towards land-based products. At the time that we started it, it was not the right time. I think it was like back in 2009 or something like that, but it was not the right time. But could that be something that we could do in the future? Certainly. But we are a much different company now than back then. And so we have to make sure that we deploy not just our capital but also our human resources where it would make -- generate the most shareholder value.
Torstein Hagen: If I may add, Leah, of course, we have also been -- we are dipping our toes into the Chinese market, the Chinese outbound market. So as you probably know, we operate 4 river ships in Europe for the Chinese, and we have an ocean ship, which also will be deployed in some fashion for the Chinese. Of course, the Chinese market is huge and different from other operators of travel, we market our product directly to the Chinese consumer, sometimes with a travel agent in between, but largely directed to the Chinese consumer. This will take time to develop, so we shouldn't boast too much about it now. But I think this could be a significant growth engine in the longer term. So that's something we could reserve funds for.
Elizabeth Dove: And then just on the customer side, I mean, you clearly operate in this great demographic, a lot of demand and a growing customer demographic, right? Maybe you could share like in terms of the customer demand you're seeing, like how much is kind of repeat visitation or cross-sell between river and ocean? And also like how much you're seeing in terms of new to brand and new to cruise? Any kind of color around that, I think, would be interesting.
Leah Talactac: Sure. Go ahead, Tor.
Torstein Hagen: No, you start, and I finish.
Leah Talactac: Okay. So from a repeat guest percentage, we are seeing quite a few of our guests repeat. So for the 2024 season, 53% of our guests had traveled with us before. And as Tor mentioned, there are quite a few of them with more than 1 or 2 active bookings. We have seen that there are guests who may have 3 or 4 additional bookings in addition to the booking that they currently are on. And in fact, we have a very good take rate when we think about guests who are currently on an ocean ship, they will book their next journey with us while they are on their current one. So I think that is also a testament to how well the product presents itself. It's not just about marketing. We also operate an outstanding product that guests truly enjoy. As far as new-to-brand is concerned, we continue as obviously, when we're growing the way that we're growing, you want to make sure that your repeat guest percentage remains high, but also that you attract new to brand. And we start to see that. And when we ask them who they mostly come from, we start to see that quite a few of our guests had started with the larger cruise operators. But once they hear about the Viking way of travel, they are drawn towards that way of travel of experiential cruising with destination being the focus, not the ships. And then once they're in the Viking ecosystem, then they continue to repeat. And then, Tor, any follow-ups?
Torstein Hagen: Well, that was really the point I was planning to make of the new-to-brand people we have on the oceans. And when we look at it, we ask them, who have you traveled with before? And I will not do free advertising for people we shall not do free advertising for. But you find that 35% of them have traveled with company X and 27% have travel with company Y and so forth. And it really means that as people get older, which happens to the best of us, if people get older, then get tired of being on ships with children. And that's a course of people came up to us and said, yesterday, Malta. This fact that we don't have children on board, it's a quiet serene atmosphere on board our ships really make it very easy for us to convert people who have been having enjoyable times on ocean ship and say here is something totally different. So that's really a very important part of the mission we are on.
Operator: Your next question is coming from Trey Bowers from Wells Fargo.
Raymond Bowers: You guys have laid out a really impressive, committed capacity growth book for the next 6 years, maybe 8 years in ocean. In terms of that new capacity coming online, is that there's so much untapped itineraries out there at different regions that as you introduce these ships, the itinerary mix should look significantly different in the years to come? Or do you feel like in the kind of current regional mix that you're servicing today that there's so much demand out there that you guys are not able to meet that? So just a little bit kind of under incremental information around kind of how this ocean business is going to continue to develop would be great.
Torstein Hagen: Yes. I'd say it's more the latter. We have seen from our booking curves that we are selling far ahead, and we are sold out of many of the itineraries. So I think it's really more of the same and to more customers, which is a fairly simple message to get across. So that's really what it is on the oceans. On the rivers, we have been able to expand the geographic spend a bit. So for example, I feel we own the Nile, we are now in India and so forth. So there, we can add product. But on the ocean, we cover the whole globe. So it's really just more of the same. We have the demand there as we can see it.
Raymond Bowers: So looking ahead -- sorry.
Torstein Hagen: No, no, go ahead.
Raymond Bowers: So looking ahead a few years, if we were to look at what itineraries have looked like for the last few years, the expectation would be it's still predominantly Europe and Northern Europe. You mentioned China. Just curious, that was my thought is will we see maybe a little more Caribbean from you guys in the years to come, a little more Asia in the years to come, especially just given what a leadership role you already laid out that you guys already represent in river as you kind of build this luxury business and represent such a large share of it. Do you feel like there's -- your customers, as you mentioned, in Malta, would love for you guys to introduce, I don't even know, an itinerary where you've never even been there before. And given all the repeat customers, do you feel like that's something that you guys can continue to grow in the years to come?
Torstein Hagen: Yes. I think people trust us. So for example, now this itinerary we had in Malta, you go from Malta to Tunisia to Algeria to Casablanca and Cadiz, can you dare do that? No problem, you have a Viking and say fans. So I think that we can do fairly readily. But I'd also like to add, we have a couple of benefits. First of all, we started our -- we have been able to design a type of vessel that is standard. So you can come on board, I think yesterday was a Viking -- I don't know what ship it was, it was a Viking Saturn, I think, which is 2 years old. You can't really tell the difference between it and the Viking Star, which is 10 years old or 11 or whatever. So the fact that we have been able to have consistent, clear standard from one ship to the other to the third, it really makes it very easy. It's all interchangeable. So Southwest is -- has done this quite well. So I think it's a major, major benefit there. But that means that we have good contracts with shipyards in terms of the capital costs. because they like to build more of the same, too. So we don't have to reinvent and have uncertainties. So it's been a fairly smart thing, I would say. So we should stick to that and just continue on the path we have.
Leah Talactac: One thing to keep in mind also is that our guest demographic is quite different. They are ready and willing to travel year-round. So when we think about the people who travel on the larger public cruise lines, they have to worry about holidays and when children are in school or out of school, whereas our guests travel year-round. And so right now, for the 2024, Viking from a luxury ocean market perspective, we were only 24% of market share, whereas in river, we're over 50% and so when we look at what is the -- what could we dominate in, we're already over 50% in river. And we see really this white space where people enjoy the product. We have purposefully built ships to have itineraries in Europe where larger ships cannot go. And as -- and we're already seeing that when the larger public cruise lines are pulling out of Europe. And so there's certainly opportunity for us there. We don't really -- we want to go where the destination is the focus, and that's not really the Caribbean. So we will continue to make sure that our guests have the ability to travel Mediterranean in the quiet season or in the Nordic countries. And then certainly, there are other more exotic locations that, as Tom mentioned, our guests are really willing and able to travel to and they want to and then they do feel that comfort and sense of safety when traveling with Viking.
Torstein Hagen: Like yesterday, the Mediterranean in the second half of November is a fantastic and nice place to be. Nice temperature, not too crowded and all of that. So I think Caribbean, we only have a tiny sliver there. And even the Caribbean product we have is different. It goes largely out from San Juan, and then it goes to each of the islands. So there's something to see. You not only go to either open sea or even worse. I've heard you go to islands where you can then rent cabanas, which is not really genuine and so forth. I think we are about real life experiences, not fake. So I think we have a very, very good product.
Raymond Bowers: And if I could just sneak one quick one in. I think it was Lizzie asked about the nonorganic growth, and you went to non-cruise. Does the -- just that consistency of product kind of preclude you guys from ever adding in a nonorganic basis cruise ship? Is that something you've just decided we're going to only build? Or are there potential other luxury river or ocean brands out there that you could kind of easily make them meet the Viking standard if they came up for sale?
Torstein Hagen: You should never say never, but not far from it, I would say, not far from never. It would take a hell of a special situation to convince us otherwise. Of course, it's important -- it's been important for us to be able to secure docking spaces. So there may be some things we can do in that area, I would say, that's high value to create moats. But it's not so -- we -- our guests like the brand we have, and we shouldn't try to confuse them too much. So -- but I will never say never.
Operator: That is all the time we have questions for this morning, and this does conclude our Q&A session for today. I will now turn the conference back over to Tor Hagen, Viking's Chairman and CEO, for closing remarks.
Torstein Hagen: Well, thank you all for listening to us. I hope you share our optimism. It's been a spectacular year after 27 spectacular years behind us. So I think we look very optimistically towards the future. But we also like to be realist, and it's nice to have a sound capital structure that we have. You never know what happens and -- either in terms of problems or opportunities. So thank you very much.
Operator: Thank you. This does conclude today's conference call. You may disconnect at this time and have a wonderful day. Thank you once again for your participation.